Kyoko Altman: Hello, and welcome to Rakuten's 2020 Financial Results Video Conference. Our top executives are here to review the year and share their strategies for 2021.  For Rakuten, 2020 was a year of resilience amidst the pandemic, where adversity led to advancement. The group delivered double-digit revenue growth in 2020, with our core e-commerce Ichiba business, achieving the strongest fourth quarter earnings growth in a decade.  Our leaders in e-commerce will explain how the numbers of purchasers and their retention rate have increased, signaling continued momentum. Our FinTech leaders will show how the businesses are achieving industry milestones, including new accounts that are sticky. Our head of advertising will talk about how, despite a downturn in the industry, the business delivered double-digit growth.  Meantime, our new Mobile business is disrupting and democratizing the industry with an innovative pricing plan aimed at accelerating customer acquisition. Our mobile leaders, including heads of technology and marketing, have the details.  In short, we are seizing digital acceleration, transforming telecom and, most importantly, enhancing Rakuten's ecosystem with the addition of our mobile business. This ecosystem consists of some 70 businesses with e-commerce, FinTech and now Mobile as keystones. Our CFO will share our financial strategy that includes focusing on the profitability of core strength to grow the value of this ecosystem.  Now please welcome Mickey Mikitani, our CEO, who will share the group's strategy.
Kenji Hirose: Here the earnings result for the fourth quarter. Revenue increased by double-digit year-on-year due to strong growth in our Rakuten Ichiba and FinTech businesses.  Looking at the full year results for 2020. We are able to achieve strong growth despite a pandemic, with consolidated revenue up 15% year-on-year as a result of leveraging the strengths of our diverse businesses and the Rakuten Ecosystem. Excluding Mobile and Logistics, in which we are investing heavily, non-GAAP operating income increased significantly, demonstrating the strength of our diversified business portfolio. Operating income, including upfront investments result in a large deficit, but this is the result of positive investment for the future growth.  Looking at fourth quarter non-GAAP operating income. Mobile business performance was led by domestic e-commerce, which increased by ¥10.6 billion. Rakuten Ichiba saw strong growth in new user during 2020, which, by the fourth quarter were firmly established amid stay-at-home trend during the pandemic. Operating income reached a record high in the fourth quarter.  In the Travel businesses, the Go To Travel campaign significantly improved business performances. Although losses in the mobile businesses continued to expand due to upfront investments. Our network coverage area is steadily expanding due to aggressive base station construction.  Here is a full year non-GAAP operating income trend. In 2019, our Investment businesses produced strong profit due to the listing of Lyft. And excluding that, operating profit was ¥11.5 billion, from which we were able to steadily accumulate profit through our main businesses, such as FinTech and domestic e-commerce.  In the Mobile business, depreciation and other costs were incurred due to aggressive base station construction, but the number of applications exceeded 2 million at the end of 2020 and the customer acquisition has accelerated rapidly since announcement of the new brand. We aim to continue to improve network coverage and services provided to increase the number of users and aim for RE monetization.  The Rakuten Group is developing our FinTech businesses. So maintaining financial soundness is very important for us. We are currently reviewing our business portfolio and are proceeding selectively to exit or sell some businesses. In addition, we issued foreign bond in 2019 and succeeded in issuing hybrid bond that was certified as capital in 2020. And we are working to diversify our funding strategy. We are also promoting fund raising at each group company, such as issuing domestic corporate bond at Rakuten Card.  Regarding businesses manage of Investment, we are continuing to review our portfolio, including the withdrawal or sales of noncore businesses, including overseas businesses. We sold OverDrive in 2020 and the marketplace business in United States and Germany were closed. While large-scale investment in Mobile and Logistics are required.  The Rakuten Group has been reorganizing our group structure. We aim to improve organizational and operational efficiency through quick decision-making by clarifying accountability and management resource allocation and overall optimization.  In April 2019, we reorganized our Internet services, Mobile and FinTech businesses after introduction of company system. These all have distinct business characteristics and risks. As a next step, we decided to change our company name and will put the resolution forward at the General Meeting of Shareholders in March. While we expand our businesses, Rakuten Group will play a role as the common tower by promoting the transfer of authority to each group company. We aim to strengthen group management and manage capital flexibility. Overall, we aim to further improve capture efficiency through these policies.  Membership value excluding Mobile at the end of 2020 was ¥8.9 trillion, and it is steadily expanding towards the target of ¥10 trillion. We aim to continue to expand the Rakuten Ecosystem dramatically after addition our Mobile businesses and increase corporate value.
Yoshihisa Yamada: In 2020, amid the great confusion caused by the pandemic. Rakuten Mobile reaffirmed its commitment to provide smartphones and connectivity to everyone at low prices with high quality. We strengthened our desire to support Japan as much as possible.  With this in mind, we were pleased to announce the upgraded Rakuten UN-LIMIT VI, which will bring further innovation to the Japanese telecommunications market. With the acceleration of digital transformation, the amount of mobile traffic is expected to increase in the future.  Our unlimited data plan that meets the demand for large traffic remains unchanged. Depending on monthly usage, charge under the upgraded plan is now even cheaper. Especially up to 1 gigabyte, the monthly charge is ¥0. We are sure this APOC making plan will satisfy everyone in all data usage brackets.  In the fourth quarter, the cumulative number of applications exceeded 2 million in December 2020. With the success of various campaigns and the steady expansion of our own network areas, customer acquisition progressed at a higher pace than in the third quarter. In addition, Rakuten UN-LIMIT VI, which caters to the diverse needs of all customers, is expected to contribute to the further acceleration in customer acquisition.  Our 4G network population coverage exceeded 70% in December 2020. We aim to achieve population coverage of 96% around summer this year, which is about 5 years ahead of our initial plan. On the other hand, we also plan to increase the density of the network within coverage areas in order to improve connectivity. This will mean that the number of base stations to be constructed is expected to be more than the initial plan, but the amount of capital investment is well under control.  Due to the aggressive network area expansion, base station related expenses, including depreciation, increased quarter-on-quarter. Roaming costs have also increased slightly due to accelerated user acquisition.  Looking back on the trajectory of Rakuten Mobile, we have constantly upgraded our rate plan started from Rakuten UN-LIMIT. We developed Rakuten's original communication app, Rakuten Link and offered 3 calls in Japan. We also introduced free MNP and SIM related fees in our Zero Declaration ahead of other companies. Rakuten Mobile has always led the democratization of mobile networks through constant upgrades and improvements of its service.  As concerns around the pandemic continue, Rakuten Mobile aims to provide low-priced, high-quality communication services to everyone. Going forward, we are committed to providing even more attractive services that will lead the democratization of mobile networks, while focusing on expanding network coverage and our customer base, and strengthening synergies within the Rakuten Ecosystem.
Tareq Amin: Against all odds, we have completed a phenomenal year. We have built and launched the world's first end-to-end virtualized 4G network. We have built and launched a highly innovative next-generation cloud native 5G network, accelerated our network rollout pace by deploying thousands of sites, including macro, small cells, indoor cells and femtocells.  Our cloud-native network today is stable, carrying a significant amount of capacity and delivering an unparalleled experiences to our consumers. We disrupted not only Japanese markets but all telecom industry by introducing groundbreaking innovation for telco industry. We have driven the discussion in the telecom world on the necessity of OpenRAN architecture and unlocked the mystery of radio. Not only we built the 4G, 5G network with OpenRan, we also delivered with performance and quality.  On performance, our throughput have significantly improved as we continue to enhance our radio software architecture. We started with 870 megabits per second. And today, we are delivering over 1.7 gigabits per second on a virtualized appliances -- commodity appliances. We believe this is a big breakthrough. Rakuten Mobile network built and delivered on the world's most advanced mobile edge data network platform. We believe this is critical to deliver on 5G use cases of today and tomorrow.  We started our journey with automation in our DNA, and we are on a solid path to achieve a highly autonomous network. We have so far achieved significant operational efficiencies in our current network. Examples of this is provisioning and activating our customers in less than 3 minutes, and activating our macro base stations in less than 4 minutes for 5G and 8.5 minutes for 4G.  We introduced our technology to global clients, and they are welcoming it. There's a huge interest in what Rakuten Mobile have built in Japan from all around the world. Already signed 2 MOUs so far, Telefónica and stc and more are on the way.  But we're not stopping here. We want to make 2021 another year to remember. We are planning to launch our 5G stand-alone network. This will unlock the full potential of next-generation use cases on our end-to-end cloud-native mobile network. We are aiming to sign the first RCP deal and deployment out of Japan. And most importantly, we further are planning to accelerate Japan network deployment and reach 96% pops coverage by summer 2021. Thank you very much.
Koji Ando: In our global content businesses, the customer base has continued to expand significantly due to stay-at-home policies and other lifestyle changes amidst the pandemic. In Japan as well, the number of online events is increasing due to the effort to sell kits and broadcast events online.  In addition, the content business is highly compatible with the Mobile business. In order to maximize mutual synergies, we transferred the existing media and the sports company into the communication and the energy company, which also houses Rakuten Mobile. Rakuten is a unique company with various platform that can be used to monetize intellectual property. For example, after acquiring the third-party intellectual property, we plan to monetize it on Rakuten TV, Rakuten Ticket, Rakuten Ichiba and more.  At the same time, by providing content service with particularly attractive prices and rich content to Rakuten Mobile users, we are experiencing mutual synergy between our content and mobile businesses, increasing profitability and further contributing to the Rakuten Ecosystem.
Unidentified Company Representative: In the new normal, the fusion of off-line and online is progressing, and digitalization is accelerating. At e-commerce, it's only ¥20 trillion of a total ¥300 trillion of household consumption in Japan. We expect further growth and Rakuten continued to grow faster than the market.  We are making various efforts to capture the era of accelerating digitalization. We have established a new company to support the digital transformation of domestic retailers across Japan. And as the first initiative, we decided to invest in Seiyu. In addition, we agree on a strategic alliance with Japan Post to promote digital transformation in logistics. Also, Rakuten Fashion will provide brands with an omnichannel platform that includes centralized inventory management and logistics services to promote brand digital solutions. Under our open strategy, we aim to capture the area of accelerating digitalization through various alliance and collaborations.  Here is the total amount of domestic e-commerce GMS in the fourth quarter and 2020. Growth has accelerated significantly as consumer behavior has changed. Here is the revenue and operating income. Led by Rakuten Ichiba, many businesses performed well, and operating income also increased significantly.  Looking more closely at operating income, the marketplace type businesses centralized on Rakuten Ichiba and Rakuten Travel improved significantly. And although we continue to invest in the Logistics business, the expansion of losses is slowing. The total amount of shopping e-commerce GMS increased significantly in the fourth quarter and continues to expand.  In 2020, the number of new and returning purchases on Rakuten Ichiba increased significantly. The introduction of a free shipping threshold initiative in the Logistics business have improved customer convenience, and the number of repeaters is increasing. In addition, point programs such as SPU have improved user loyalty.  Currently, the monthly purchase amount and user retention rate on Rakuten Ichiba are also increasing from the previous quarter. We will continue to aim for further growth in the area of accelerating digitalization.
Yoshiyuki Takano: The Travel business temporarily fell sharply due to the influence of COVID-19. But thanks to measures, such as coupon and point campaign and the Go To Travel campaign, we achieved double-digit growth in the fourth quarter. Even when compared to the industry as a whole, we are showing a very rapid recovery. In fact, our market share has expanded and 1 out of every 5 person nights comes from Rakuten Travel in Japan. We are a leader in market share in Japan. We believe the reason for the expansion of our market share is the success of these initiatives and cross-use within the Rakuten Ecosystem.  Furthermore, in order to get through the pandemic, we launched various initiatives such as support for hotels to accept patients with asymptomatic or mild cases showing COVID-19 countermeasures on the site and providing financial support for hotels. Although the outlook for the pandemic is uncertain, we will continue to work together with our stakeholders toward a positive future.
Unidentified Company Representative: As fashion brands increasingly look to the online channels for growth, the Rakuten Fashion is accelerating its acquisition of popular brands. Furthermore, the user base is expanding due to our improved brand image achieved through the enriched content and the expansion of Rakuten Fashion Luxury, as well as the release of an app.  In addition, from this summer, we will further promote digital solutions for brands with the launch of an omnichannel platform that provides centralized inventory management for multiple sales channels. And logistics services for brand shops are participating in the Rakuten Fashion. As these efforts progressed, the NPS, which represent customer satisfaction, was higher than that of their competitors. And our brand image improved significantly.  The flea market app, Rakuma, boost its sales commission rate in January. We aim to boost earnings by reinvesting to expand our customer base. Along with changes in the customer behavior during the pandemic, the number of C2C listings and the active users are increasing. So we expect further market expansion. We will promote our cross-use strategy with the Rakuten Group and aim for further growth.
Unidentified Company Representative: In our Logistics business, we aim to improve the convenience for the users and merchants by making full use of the power of data and technology. Both number of merchants using Rakuten Super Logistics and the shipment volume has increased significantly.  At the end of last year, we announced an agreement to form a strategic partnership with Japan Post. Taking advantage of the strength of both companies, we have built a new logistics platform based on shared data and our respective assets and expertise. Specifically, we aim to improve both the customer experience and the operations with data-centric initiatives.  In the future, we will support a growth of sustainable e-commerce by collaborating with stakeholders related to logistics and developing as an open platform, not limited to use just by Rakuten and Japan Post.  Rakuten Seiyu Netsuper total GMS grew strongly in the fourth quarter as well. We have just started operations of our new fulfillment center in Kohaku, Kanagawa prefecture. We are also planning to open new distribution centers in order to respond to further growth in demand.  We established a new company to support the digital transformation of domestic retailers across Japan. And as a first initiative, we decided to invest in Seiyu. We aim to promote offline and online integration and digital transformation for not only online supermarket that we are already collaborating with, but also offline stores in order to provide greater and reliable convenience for consumers.
Unidentified Company Representative: 2020 has become another big year. Shopping GTV exceeded ¥11 trillion, and our market share went up to about 20%. Our card membership reached 21 million. Full year operating income for 2020 was plus 15.8% Y-o-Y. Our marketing cost increased as group e-commerce business expanded, while our contribution to the group are greatly increasing.  The credit card industry in 2020 was affected by the pandemic, and since, the GTV dropped significantly, it had continued to grow negatively. However, Rakuten Card maintained positive growth even driving the pandemic and had already recovered to pre-pandemic level. As a result, we have further widened the gap in the growth, right, with marketing and are one step ahead in the cash side.  We also continued to expand our customer base. We increased by 2.56 million card members in 2020. This means that 1 in 4 credit card issued last year are Rakuten Card. Even after Rakuten Card become #1 in shopping transaction volume in 2017, it continued to grow our market average, and its share expanded to about 20% at the end of the last year. We can expect a big leap when offering consumption activities such as travel and dining returns in the future.  In 2021, Rakuten Card will continue to focus on expanding its customer base, promote its in shopping and strengthen the relationship with customers. I'm confident that when offering consumption returns, our share of the cashless market can expand right away. The asset business, such as shopping revolving and cashing, should also make a big leap in 2021. We will continue to expand our business and create further shareholder value.
Hiroyuki Nagai: Here are Rakuten Bank's financial results by quarter. While the Bank of Japan's negative interest rate policy has caused many banks to experience a drop in their earnings, Rakuten Bank has been able to grow its revenue and profit by increasing service revenue due to increases in the number of transactions.  In 2020, consumer behavior shifted to online, partly due to COVID-19, and many banks also focused on internet banking more than ever. The shift to online services for consumers is expected to continue. We believe this provides a big opportunity for Rakuten Bank. Growth in the number of Rakuten Bank accounts has continued to accelerate, reaching 9.91 million accounts by the end of 2020. In January, Rakuten Bank became the first online bank in Japan to reach 10 million accounts.  Additionally, the balance of deposits exceeded ¥5 trillion in December. We were able to accumulate an additional ¥1 trillion in 6 months since surpassing that ¥4 billion mark in June of last year. In 2020, Rakuten Bank saw a significant increase in the number of payments with a growth rate of 42% over the previous year. This is due to the increasing number of customers who use their Rakuten Bank account as their main account for their daily lives.  The number of payroll accounts and direct debit transactions, which are directly connected to daily life, increased by 53% and 48%, respectively, showing rapid growth. Going forward, Rakuten Bank will strengthen its marketing based on customer data analysis to achieve further growth.  Utilizing the rating group's expertise in data analytics, we will promote cross-selling in line with customers' interest. In 2020, the number of services used per customer grew by 7.8% year-on-year. We can further expand the number of services used in the future. In 2021, Rakuten Bank will continue to accelerate its growth by expanding the number of accounts and encouraging customers to use Rakuten Bank as their main account.
Yuji Kusunoki: Here are the financial results for the fiscal year, broken down by quarter. We achieved double-digit growth in both sales and profit as a result of increased trading volume in domestic and U.S. equities due to the blue market. In particular, revenue remained at a high level.  The number of new accounts was 1.3 million, up 78% from last year, and we have been #1 in the industry for 3 consecutive years. In December, we surpassed 5 million account mark. Increasing 1 million account in 9 months is the shortest period in our history.  We continue to promote our effort by leveraging the Rakuten Ecosystem to reach the general public, which has long been an issue for the securities industry. We are able to reach investment beginners who are just about to start their asset building. In particular, purchase of monthly saving investment trust reached ¥31.4 billion, and our share of tsumitate NISA account has reached 27.5%, #1 among Japanese financial institutions.  At the same time, Rakuten Securities is expanding new sources of revenue to offset impact from commission-free trend in Japanese equity. The U.S. stock trading subs has been growing rapidly, and the revenue has increased sevenfold over the previous fiscal year. We are also continuing to strengthen our overseas businesses. All 4 of our affiliates were profitable in fiscal year 2020. In particular, Malaysia and the bullion business in Hong Kong achieved profitability for the first time this year. Rakuten Securities will continue to promote investment to the general public by utilizing the Rakuten Ecosystem and pursuing fiduciary duties.
Unidentified Company Representative: This is the insurance business performance. Last year, Life Insurance grew steadily and general insurance profitability improved by utilizing reinsurance for risk control. Therefore, 2020 non-GAAP OI was ¥7.5 billion, more than plus 87% Y-o-Y growth. We promoted digitalization as a countermeasure to COVID-19.  In 2020, we realized 95% paperless in new contracts, policy owner service and claim payment process. In 2021, we will automate contract and underwriting process by leveraging AI. I am happy to announce that J.D. Power's 2020 survey showed Rakuten General Insurance as #1 in customer satisfaction for automobile insurance.  We leveraged the Rakuten Ecosystem for insurance sales. Especially after launching the Rakuten Point program, the Internet sales grew significantly. AIP grew plus 42% Y-o-Y in Life Insurance and more than plus 200% in General Insurance. We expect this momentum will continue.  We will continue to offer products to Rakuten Group businesses to expand the synergy with the Rakuten Ecosystem. Furthermore, we will also strengthen synergy within our insurance business by introducing one-stop service through face-to-face customer service channel to offer a seamless proposal for life, general and pet insurance. In true Rakuten spirit, we will continue to take on new challenges to improve the quality of customer service.
Unidentified Company Representative: Cashless payment accelerated in 2020, partly due to the impact of the pandemic. With the cashless and point refund business promoted by the Japanese government, the transaction volume of Rakuten Pay and Rakuten Edy has expanded. The Rakuten Group has a share of about 20% in this business and is in a leading position in the cashless Society.  In May of last year, we launched the Suica in the Rakuten Pay App. And in December, we made it possible to charge Suica with Rakuten Points. This has further improved the appeal of Rakuten Pay and Rakuten Points.  As the cashless society progresses, Rakuten Pay is establishing a solid position among various payment services. The number of monthly users of Rakuten Payment services, including online and off-line, has reached 50 million. In addition, the payment service plays a role in attracting users from the real world to the online Rakuten Ecosystem. Currently, 1 in 4 new Rakuten membership sign-up is generated by Rakuten Payment services.  Rakuten Payment strength is its sustainable business model. We provide merchant who introduced the service with benefits, such as improved ability to attract customers and improved operational efficiency, and receive appropriate merchant fees. By returning the part of the fee to users, we are building a sustainable barter cycle that promote expansion of our business.  In addition, having a variety group financial services reduce the cost of the payment business and keeps margin within the group. We also realized monetization by cross-selling multiple financial services. The ability to accumulate and use Rakuten Point, the most popular point in Japan, is a unique differentiator for Rakuten Payment services. By utilizing Rakuten Points, we have achieved effective user acquisition and increased use of cashless services.  At the same time, it's a positive cycle. Our payment services expand the off-line usage occasions for Rakuten Points and contribute to increasing the attractiveness of points through ease of use and accumulation. In 2021, we will continue to develop Rakuten's unique strategy centered on Rakuten Point.
Unidentified Company Representative: At Rakuten, we have over 100 million Rakuten IDs and the large amount of user data associated with them. This is a major strength and differentiator for our ad business. Our advertising sales in fiscal year 2020 grew steadily, supported by the strong performance of the e-commerce business. In addition, the fourth quarter was also strong with 23.7% year-on-year growth despite the entire Internet advertising industry experienced stagnant growth.  This is a breakdown of the growth rate of ad revenue in 2020. The area on the left side of the chart shows revenue from utilizing Rakuten's own ad inventory, which expanded significantly. This is due to the strong performance of our e-commerce business, which contributed to the acceleration of ads placed internal advertisers such as Ichiba merchants; as well as external advertisers, such as major consumer goods manufacturers. In particular, in terms of advertisement sales to external advertisers, in addition to the strong performance of Rakuten Ichiba, Rakuten Data Marketing, a joint venture with Dentsu contributed to growth by levering synergies between Rakuten's strengths and Dentsu's large network of contacts with consumer goods manufacturers.  With the various changes in the external environment in recent years, risk factors such as declining advertising spending and third-party cookie regulations across the industry continue to be a concern. However, the accumulation of purchased data is accelerating due to the strong performance of e-commerce. We will leverage this resource to accelerate digital transformation of retail to further expand our business.  In the other business, we will utilize data accumulated from Rakuten's business activities to support strategic investment in the Mobile and Logistics businesses with a keen eye on profit.
Naho Kono: Last year, the pandemic caused a change of lifestyle. However, Rakuten was able to achieve strong growth. The first of this growth is the Rakuten Ecosystem, which enhance customer retention and promote cross-use.  As you can see, the average number of the monthly active user of Rakuten Group's services grew 17.5% year-on-year. On the other hand, percentage of the user who use two or more services continue to increase steadily. You can see that these active users and cross-use contribute to the growth of the rating group.  In addition, the Rakuten Ecosystem has become even more powerful with the addition of the Rakuten Mobile. Here are some examples. At Rakuten Mobile shops, the shop introduced up to 6 services, including the Rakuten Card. In addition, when applying for Rakuten Mobile online, we have introduced the mechanism that allows user to seamlessly apply for Rakuten Card and Rakuten Bank.  This is better comparing the amount of the money spent on Rakuten Ichiba by customers before and after subscribing to Rakuten Mobile in May last year. As you can see, the usage amount after subscribing to Rakuten Mobile increased 44% compared to the average usage amount before subscription. Considering that the ratio of the increase is 3x bigger than nonmobile users during the same period, we can see how sub solution to our mobile service is the factor that encourages the usage of our other services.  Moreover, the synergy of the mobile business are not limited to contributing to the Rakuten Ecosystem. At Rakuten Ichiba Super Sale December, we carried out the campaign that gate 9x more point than shopping for customers who newly applied for Rakuten Mobile. This was very well received.  In this way, Rakuten Ecosystem's large customer base contribute through the acquisition of users in our mobile business. Going forward, we will continue to accelerate the pace of customer acquisition for Rakuten services, including our Mobile business and focus on expanding the Rakuten Ecosystem.
Yasufumi Hirai: With the launch of Rakuten's mobile business, we now possess our own network connectivity infrastructure. Contrary to the approach of other telecos, Rakuten's unique position is to build a nationwide mobile network through the power of the information technology and the Internet services.  Rakuten ID and Rakuten Points represent our advanced membership foundation. By providing payment services such as Rakuten Card, Rakuten Bank, Rakuten Pay and Rakuten Edy, we are able to offer a distinct and personalized digital commerce experience to customers. The key to all of this is safe and secure service guaranteed by solid information security platform.  Rakuten's technology strategy is built on the 5 pillars shown here. Data represents facts, and AI is not part of Rakuten's culture. Blockchain technology is becoming the next-generation enterprise data exchange platform.  All the services provided to our customers are containerized and built on an advanced cloud-native environment developed in-house. And of course, we respect data privacy, which is our essential unwavering commitment to our customers.
Takuya Kitagawa: I would like to share the progress of Rakuten Group's AI and data strategy. This diagram represents how we are building our AI strategy based on AI platform program. Our mission is to empower Rakuten membership management for all services. For each layer of the program, we have a concrete product portfolio to achieve our goals.  As one example, I would like to introduce a solution we developed for Rakuten Mobile. This is a tool for antenna site identification. One of the most critical elements of the Rakuten mobile network build-out is to construct antennas. We have built tools to leverage data in order to determine more than 20,000 prospective sites from 52 million building data points. According to our tests, these tool improved the efficiency of site identification by 3.5x, which is enabling the mobile team to accelerate the base station build-out ahead of schedule.  Another example of the application of our data and AI strategy is for customer acquisition. To date, we have used our targeting and personalization engines to conduct 1,200 campaigns that contributed to the generation of 600,000 customer acquisitions. From mobile to e-commerce and FinTech, we are providing a wide range of data science solutions and products for your businesses to help achieve growth and profitability.
Kentaro Hyakuno: 2020 was the year when the whole world was heavily impacted by COVID-19. And at the same time, it was a year when Rakuten launched full-scale service of our new mobile business. Despite these challenging circumstances, we have been able to build a strong base as a company by going back to basics and reviewing the productivity, quality, safety and security of our employees.  Productivity has been steadily improving even as the organization has expanded. Excluding Mobile, Logistics and Investment businesses, operating profit per full-time employee and the total gross margin grew by about 40% to 50% year-on-year. This is nothing but the result of steadily and ingenious kaizen activities even during the global pandemic.  In 2020, the systemization of activities and the introduction of an online system accelerated kaizen activities with approximately 1,300 people taking part of the training, 1,400 people participating in kaizen activities and more than 300 examples of improvement made available as knowledge to be shared.  Rakuten continues to measure Net Promoter Score, an indicator used to evaluate the improved customer experience. As you can see, the Net Promoter Score of Rakuten Group was negative versus the competition as of 2017, but has been continuously outperforming the competition since 2018.  In 2020, 45 major services engaged in quality improvement activities and implemented more than 600 improvement actions based on the analysis of more than 420,000 customer comments. As a result of our quality assurance activities, we reduced a percentage of people who are not satisfied with our service of Rakuten Group by 5%.  The number of Rakuten new users also continued to increase, grown by 10% year-on-year in 2020, showing its strong expansion of the Rakuten Ecosystem. Rakuten Points' NPS score is also higher than that of our competitors, and the gap continues to widen. We believe that this shows that Rakuten Point has a strong competitive edge and is able to provide the better experience for customers.  Finally, even with the company-wide introduction of work from home, we have been able to control the number of reports of critical operational operation errors within acceptable range. While this was a year where we faced new challenges due to COVID-19, we were able to support our business by going back to basics.
Masatada Kobayashi: Under the slogan of Walk Together, Rakuten aims to create a sustainable future by promoting corporate activities that meet the expectations of all stakeholders. First, here are some examples of Rakuten Group customer initiatives during the pandemic.  At Rakuten EXPRESS, we promoted non face-to-face parcel pickup at the point of delivery. Elsewhere, we made efforts to support business partners in each business, facilitated the acceptance of asymptomatic and mild case COVID-19 patients at Rakuten Travels' accommodation facilities and collected donations for support. For employees, we promoted telework and held online events.  While working from home dramatically reduced face-to-face communication, the founder himself has been sharing the corporate philosophy at weekly company-wide meetings in order to strengthen the connection between employees and corporate culture. Furthermore, in order to support the physical and mental health of each employee working from home, we offer exercise videos online and hold online lectures on health.  As a result of ESG reporting, which has improved over the years, last November, Rakuten was selected for the first time as a constituent of the Dow Jones Sustainability World Index, which is a representative indicator of ESG investment. Also, in December, Rakuten was selected for the first time for the highest-rated climate change A List by CDP, an international environmental nonprofit organization.  In addition, Rakuten ESG evaluation has improved year after year due to our efforts and proactive stance towards information disclosure. We have been selected for the indexes shown here.  Our Board of Directors also comprises outside directors who are highly independent and experts in various fields. We also report and discuss issues on sustainability activities globally. Under our corporate motto, Walk Together, we'll continue to improve governance and sustainability initiatives to empower society over the long term.
Kyoko Altman: Thank you for joining our 2020 financial results video conference. As you've just heard, Rakuten's mission is to empower society through innovation. In addition to the support we've provided stakeholders amidst the pandemic, we believe our disruptive mobile pricing plan will empower society. By making unlimited data in 5G affordable to all, we hope to help address the digital divide that is likely to grow as digital transformation of society continues.  Please feel free to reach out with any questions. Thank you again for joining.
End of Q&A: